Operator: Good morning, and welcome to PowerFleet’s Second Quarter 2021 Conference Call. Joining us for today’s presentation is the Company’s CEO, Chris Wolfe; and CFO, Ned Mavrommatis. Following their remarks, we will open the call for questions. Before we begin the call, I would like to provide PowerFleet’s safe harbor statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events, including PowerFleet’s future financial performance. All statements other than present and historical facts, which include any statements regarding the company’s plans for future operations, anticipated future financial position, anticipated results of the operation, business strategy, competitive position, company’s expectations regarding opportunities for growth, demand for the company’s product offering and other industry trends are considered forward-looking statements. Such statements included are but not limited to, the company’s financial expectations for 2021 and beyond. All such forward-looking statements imply the presence of risks, uncertainties and contingencies, many of which are beyond the company’s control. The company’s actual results, performance or achievements may differ materially from those projected or assumed in any forward-looking statement. Factors that could cause actual results to differ materially could include, amongst others, CEC filings, overall economic and business conditions, demand for the company’s products and services, competitive factors, emergence of new technologies and the company’s cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. And finally, I’d like to remind everyone that this call will be made available for replay in the Investor Relations section of the company’s website at www.powerfleet.com. Now I’d like to turn the call over to PowerFleet’s CEO, Mr. Chris Wolfe. Sir, please proceed.
Chris Wolfe: Yes. Thank you, Matt. Good morning, everyone, and thank you for joining our call, and I hope everyone is doing well. The measurable pickup we experienced in new sales activity was a key driver of the robust revenue growth we generated in the second quarter. The acceleration we are seeing across our business units and end markets drove a 16% sequential increase and a 30% year-over-year increase in total revenue. In addition, our focus on building predictable revenue streams resulted in a 10% year-over-year increase in high-margin recurring and services revenue. Our quarterly financial performance also demonstrates the leverage in our business model. As while we had a modest increase in marketing expenses that we previously discussed, we were able to greatly improve our profitability metrics. Our results also reflect the successful execution of our strategy to continually increase our high-margin recurring and services revenue by expanding our high-value solutions offerings and growing our businesses in our targeted verticals and geographic markets. Before I discuss our operational initiatives and traction, I’ll turn it over to Ned to discuss our financial results for Q2 in more detail. Ned?
Ned Mavrommatis: Thank you, Chris, and good morning, everyone. Turning to our results for the second quarter of ‘21. Revenue increased 30% to $33.5 million from $25.8 million in Q2 of last year and increased 16% sequentially compared to the previous quarter. As Chris mentioned, high-margin recurring and services revenue for the second quarter of ‘21 increased 10% year-over-year to $18.1 million compared to $16.4 million in Q2 last year. Product revenue, which drives future service revenue increased 65% year-over-year to $15.5 million from $9.4 million in Q2 of last year. Gross profit dollars increased 14% year-over-year to $16 million or 48% of total revenue. This compares to $14 million or 55% of total revenue in Q2 of last year. Service gross margins for the second quarter remained strong at 63%, which was in line with the prior quarter. Product gross margin for the second quarter was 30%, an improvement from 29% in Q1 of the year. Now turning to our expenses. Total operating expenses were $16.2 million, a 10% increase compared to $14.7 million in Q2 of 2020 and a slight decrease from the $16.4 million in the previous quarter. Turning to our profitability measures. GAAP net loss attributable to common stockholders for the second quarter of ‘21 totaled $2.6 million or $0.08 per basic and diluted share. This is an improvement from a net loss of $3.8 million or $0.13 per basic and diluted share in Q2 of last year. Non-GAAP net income attributable to common stockholders for Q2 ‘21 totaled $1.4 million or $0.04 per basic and $0.03 per diluted share. This was an improvement compared to non-GAAP net income attributable to common stockholders of $789,000 or $0.03 per basic share and $0.02 per diluted share in Q2 of last year. Our adjusted EBITDA, a non-GAAP metric for Q2 2021 totaled $2.8 million, an improvement compared to adjusted EBITDA of $2.1 million in Q2 of last year. During the 6 months of 2021, we generated $3.2 million in cash from operations. Our liquidity positions remain strong. At quarter end, we had $40 million in cash and cash equivalents and working capital of $53 million. This concludes my prepared remarks. Chris?
Chris Wolfe: Thanks, Ned. As stated in my intro, PowerFleet’s improving financial performance mirrors the demonstrable pickup in sales activity we’re seeing across our key geographic regions and vertical markets. Domestically, we secured several new contract wins and fall on orders in the quarter, most notably, our logistics group secured Atlas Van Lines and White Oak as new customers as well as signed a major 3,000 unit expansion with Day & Ross. In addition, these wins -- to these wins, our logistics group also finished shipping the 6,600 unit container order that we referenced in our Q1 call. Our industrial group recently signed and shipped the first site of a very significant renewal project. While we cannot name a customer due to requested confidentiality, I can say that this project has a potential for an additional 79 sites and 7,000 industrial units, which equates to over $20 million in potential revenues. We look forward to keeping you apprised of this opportunity as it progresses. They will begin installing their units at the end of this month. Much of our success and momentum is due to our expanding partner channel network. During Q2, we entered into a reseller agreement with Mitsubishi Logisnext Americas group, a leading manufacturer of material handling and innovative automation and fleet solutions. Logisnext will offer PowerFleet’s enterprise telematics solution as a factory installed option on all Mitsubishi forklift trucks, Cat lift trucks and Jungheinrich warehouse products. This relationship is already paying dividends as we have secured several significant wins in Q2, including the world’s largest online retailer for their operations in Brazil. Internationally, our sales momentum and customer traction in the second quarter was equally as robust. Headlining the quarter was our Israeli operations, which achieved 2 major milestones in Q2: first, they surpassed 200,000 monthly subscribers; and second, they installed over 6,400 units in the month of June alone, which is the highest monthly total for its operations for all time. On top of this, our Cellocator division delivered a record 79,000 telemetry units in the quarter. Additionally, we signed the Israeli Police Department, which was announced earlier, and will begin installations of nearly 8,000 vehicles this month. The Israeli Police is the third rescue force following Magen David Adom and the fire and rescue services that have selected us to be part of their comprehensive command and control solutions. These 3 organizations tap PowerFleet because of our highly reliable hardware and software capabilities as well as our unique engineering competencies and excellent customer service. More broadly, we secured several additional international wins in Q2, such as Corteva Agriscience, where we are implementing an IoT solution in Romania with potential of 6 other countries to follow on. In Mexico, we secured a new Toyota motor manufacturing plant for our industrial solution. And I’m also excited to report that our rollout with KAVAK, who’s the Carvana of Mexico, is exceeding expectations, putting us on a pace to have over 40,000 monthly subscribers in Mexico by year-end. In addition to our sales and pipeline momentum, we continue to build on PowerFleet’s track record of technological innovation. In the U.S., we launched Vista, a best-in-class video solution that leverages artificial intelligence to analyze and proactively manage risky driving situations in real time. This is a natural extension of our image technology portfolio focused on keeping drivers safe, protecting assets and reducing insurance premiums. We also launched Vista in our Mexico operations during July. We currently have numerous pilots for Vista in the U.S. and in Mexico. And to finish up, while we do have some concerns around the Delta COVID variant in our various geographies, we are also actively working with the global electronics component situation. But we’ve entered the second half of this year with very encouraging momentum, giving us confidence in our growth prospects. We’re making great strides toward the realization of our long-term financial goals and our company vision, which is to be a major force in the massive industrial IoT market. And with that, we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: [Operator Instructions] Your first question is coming from Jaeson Schmidt.
Jaeson Schmidt: Chris, I just want to follow up on your last comment on the supply chain. Just to clarify, have you seen any sort of headwinds from the challenges out there, either in the June quarter or expect to see any sort of friction here in the September quarter?
Chris Wolfe: As of right now, no. But you remember in the Q1 where we had just a slight impact on some delayed shipments. I mean it’s an active situation, but right now, the answer is no. Our supply chain has like the near-term view that we have, it looks like we’re pretty solid. And, yes, I think we’re just trying to set ourselves up for surging potential, right? So we have quite a few very large field trials going on, and it’s going to require us to go way beyond what our forecast is, which is our normal growth forecast.
Jaeson Schmidt: Okay. That makes sense. And maybe not so much on the product side, but with the rising case count, have you seen customers pull back on sort of some of their timetables in regards to installations and just your guys’ ability to get products installed?
Chris Wolfe: Not as of yet. And again, we did see that last year, but we’re not seeing that today. Our field engineers are actually out in the field active. I’m happy to say that the majority of our employees are all vaccinated too. So some customers and prospects are actually requiring that. So we’re set up really well there.
Jaeson Schmidt: Okay. And the last one for me, and I’ll jump back into queue. Just curious if you could update us on what you’re seeing in that rental car market, both with Avis as well as the other customers you’re trialing with.
Chris Wolfe: Yes. The market, I think everyone is aware of that. The railcar market is having issues actually getting vehicles, getting cars to grow their fleets. But we’ve seen -- like our units on air have rebounded significantly, being put back into the vehicles they do have. And right now, I think you’re seeing a recovery across the board in the rental space, just whether it’s the top 5 or even below that. And conversations and activities are going on really well with them. A matter of fact, we were chosen by Avis for their new Flex car program, which is a pretty exciting opportunity for us.
Operator: [Operator Instructions] Your next question is coming from Gary Prestopino.
Gary Prestopino: Chris, a lot of good stuff going on here. But it could be very helpful, and I don’t know if you have this data, could you like give us some idea of what your installed base is at right now and how that’s changed maybe year-over-year or sequentially? And then I’d also like to get an idea of what the backlog is and then the opportunity pipeline.
Chris Wolfe: Okay. Just real quick on our installed base. We haven’t announced what the current numbers are yet today. At the end of last year, were at 590,000. Just to put it in context, we’ve -- those units that we shipped from Cellocator, 79,000 in the quarter. Those -- some of those have not been installed as of yet, right? So we’re north of 610,000 units in that range. So we’re...
Gary Prestopino: That’s very helpful.
Chris Wolfe: Yes. And then as far as our opportunity pipeline and backlog, we work on our -- it’s almost like we get POs on a quarter-by-quarter basis where we work out delivery schedules with customers. So like the big order we just got from Day & Ross, we’re currently in the mix of shipping and planning how to get those other operations, just like we did last year with their last 3,000-unit order. The container that we just finished up with 6,000, we did that actually in like less than 7 months. We actually are looking right now at a follow-on order with that same customer, which is pretty significant. I mentioned too, I think, in the last call that we’re working on this weight on axle sensor that we’ve been working with FlexiVan, and that’s making good progress. We shipped the 1,000 units to them in Q1, and we look at a lot of follow-on orders from them as well as we tune that in what I call -- we’re doing tuning now in volume. And also, this other one that I can’t really mention the name because of confidentiality at this time. I mean that’s just a huge opportunity for us. And the way that will roll out, just so everyone knows, is the first site goes up in September. And then there’s 70 potential follow-on sites with 7,000 and those are the high-end industrial units. And we expect the preponderance for those to be next year. But we know there’s at least 5 or 6 units that are in backlog wanting to upgrade as soon as we get them with the first site.
Gary Prestopino: All right. Well, I guess it would be really helpful if you kept going forward. I mean in Q1, you gave us a backlog number of 44,000 units and an opportunity pipeline of 300,000 units, so -- because you’ve got a lot of stuff going on here, and it would be nice to be able to aggregate it to just see where the company is sequentially or year-over-year. But I guess the other question I have is, is a lot of this being driven by the 5G upgrade in the market? Or are you really seeing significant bites at the apple for some of your new technologies on the logistics side as well as on the cargo side, et cetera?
Chris Wolfe: I’m glad you brought that up. We actually just yesterday received an award for our LV-500 and LV-710 freight camera from IoT, which is like an IoT organization that’s -- it’s out there on my LinkedIn if anyone wants to go see it, but -- which is phenomenal, right? Because that’s something that we brought to the market. That’s why Dan & Ross bought us. By the way, that’s why Atlas Van Lines bought us, bought our product, because of innovation. So that being said, getting back to your other question is, we are seeing very good traction from the 3G to 5G upgrade cycle with new customers as well as our own accounts. But there are brand-new people and getting back to the numbers you mentioned, the 40,000, now it’s a little less than that because we’ve signed some people, right? So that number is going to go down as we sign them and they become customers. And it’s going to go back up on the other side as we get new prospects in the pipe. So again, the numbers that you said are roughly around the same, just a quarter later, give or take, 10,000 units. But there’s a lot of new customers coming in, I mean, new prospects, people that have never had technology. And I think the reason is, number one, the price points have come down and the functionality has gone up. You look at our LV-500, it uses supercap technology. From a total cost of ownership, it doesn’t use rechargeable batteries. Our product will last as long as the trailer. It’s like anybody else is going to have to put 2 products on. It’s only going to last 5 years each. I can actually get them to re-sign up for recurring revenue twice, maybe even 3x before our product needs to be replaced. So I think it puts us in a completely different total cost of ownership for prospects. But I do think new people are coming in because of the price points and the performance. You’re getting a lot more for your dollar today.
Gary Prestopino: When you go out to bid or compete for these contracts, what’s really -- or inquiries, however it’s done, what’s been your win rate? And who are you seeing out there as your major competition right now?
Chris Wolfe: Well, that’s a great question. What I like is we always get downselected. Because usually in some of the larger tenders or whatever, it’s like the 4 -- about 4 different vendors are being tested. And we always get downselected to the final 2. And then it’s always about price and being able to deliver, and we can deliver, number one. But if it’s just price, sometimes we’ll lose those. But we usually win. We’re right now in a space where you got my marching orders and I think Ned’s and everyone is -- we’re not going to lose if it’s just a marginal on the hardware side, right? It is like we want to get those customers because these are going to be long-term, very large customers. And we just want to get them on our network and get them into our system so we can expand with them. And by the way, that’s a great -- let me follow up that. We have a solution for chassis. We have a solution for trailers, containers for refrigerated. So as an example, Tropical, which signed with us last year, they only signed with us for their containers. Well, guess what, they have chassis. I can -- that’s a common story, and that’s our approach is, hey, let’s land and expand with these very large accounts.
Operator: Your next question is coming from Mike Walkley.
Mike Walkley: Chris and Ned, I hope everybody is well, your families are well. Just wanted to circle back on the industrial group. With the 79 sites and the $20 million of potential revenue, can you just help us think about a framework for the time horizon of a big project like that rolling out and how it might flow into the model?
Chris Wolfe: Yes. We’re still working with that prospect -- that customer now. It was a prospect like 3 weeks ago. That customer will roll out and sign off on the project in Q3, September is the timing. And then because of the holidays Q4, that’s the question, right? We know there’s sites that may go, but we need to get them done before the holiday season, right? So we got to get them done before November, and that’s currently being discussed. But after that, then they’ll start rolling out next year. We have rolled out with this customer a very, very long time ago. And at any given quarter, it could be 6 sites a quarter, right? And every site could be $0.5 million. I mean that’s the size of these sites or more. And so again, the first one will be September. We have -- we know there’s like 6 to 7 more that want to go before the end of the year if we can get them in. And then we’ll work on the schedule for next year depending on how they can roll it into their operations as we’re successful. I mean we have to be successful, which we feel very confident about.
Mike Walkley: Great. Chris, is this part of that 30,000 nonsubscription unit base in industrial that’s upgrading? And if not, maybe just update us on how that transition is going.
Chris Wolfe: Yes. By the way, that -- they are. They’re at 7,000. So if you take the 30,000 that we wanted to try and get upgraded, Ford is in the process, I mentioned that in the last call. They’ve done over 3 sites, I think, maybe 4 now as I speak, but they have about 39 more sites to do globally. And that’s Ford, and there’s 5,000 units there that will be moving on to recurring. And then this is 7,000. So you can see it’s a big chunk of the 30,000. It’s not all of it. And then after that, though, the accounts aren’t quite as large, but we are actively pursuing the rest of those upgrades as well. But these are like 12,000 units will go on the air at about $10 a month each.
Mike Walkley: Great. That’s great to see executing against that opportunity. And I guess, Ned, I know you’re not giving guidance. I think there’s the Delta there and which creates uncertainty and supply can still be challenging. But just given kind of the framework and momentum in the business, should we think about maybe steady growth off Q2 in the back half of the year, or maybe you can help frame second half of the year versus first half, kind of what you’re seeing?
Ned Mavrommatis: Yes. I think, Mike, we want to continue the steady growth. Obviously, the -- we’re keeping an eye on the Delta variant and how it’s going to impact the business. And as Chris mentioned, supply chain is an issue. I think our team has been doing a very good job dealing with it, so we didn’t see any impact in Q2. But behind the scenes, there’s a significant amount of work that’s being done, just getting parts and making sure we’re able to meet and deliver. And things are not getting any better. They’re actually getting worse out there. So those are the 2 issues that we’re trying to manage. But from where we sit today, the business is looking strong, as you can see, and we want to continue the steady growth into the back half of next year -- of this year.
Mike Walkley: Great. Just last question for me, Ned, just building on that. Should we be conservative in our product gross margin modeling maybe for Q3 given supply constraints and expedited shipments? Or could it be steady based on what you see, kind of the mix in your backlog?
Ned Mavrommatis: Yes. So if you saw the product gross margin this quarter, it was 30%. It was a slight improvement from last quarter, it was 29%. It should be around this level going forward.
Operator: Thank you. There are no further questions in the queue. I will now turn the floor back over to Chris Wolfe for closing remarks.
Chris Wolfe: Thank you for joining us this morning. Ned and I will be virtually attending several upcoming financial conferences during Q3, including: the Canaccord Genuity Growth Conference, August 10 and 11; the 10th Annual Gateway Conference on September 8; the Barrington Research Fall Investment Conference on September 9; the Lake Street Capital Market’s BIG5 Conference on September 14; and the Jefferies Virtual Software Conference on September 15. Before we wrap, I’d like to thank our employees for their diligent efforts and operational execution. I’d also like to thank our valued customers for putting their trust in our products and our services. Lastly, I would like to thank our investors for their continued support and your confidence in our ability to realize our vision. Please stay healthy, and we look forward to speaking with you again soon. Operator?
Operator: Thank you for joining us today for our presentation. You may now disconnect.